Takeshi Isobe - CFO:
Takahito Tokita: I would like to explain our company progress in FY '23, the status of how we are progressing against our major initiatives and our targets for FY '24 with respect to the Medium-Term Management Plan, which I announced in May 2023. First, I would like to start with the Fujitsu Group purpose, which is to -- and make the world more sustainable by building trust and society through innovation. All of our corporate activities are designed to achieve this purpose, which gives meaning to our existence and what we aim to be. The Fujitsu way, which all Fujitsu Group employees must abide by sets out the 3 important values of aspiration, trust and empathy as well as the code conduct, which are all anchored in our purpose. I would now like to explain our approach to value creation for 2030. We have established a vision for 2030 being a technology company that realizes net positive to digital services. Fujitsu's vision for achieving a not positive is defined as Fujitsu, which includes society must address the materiality of solving global environmental problems developing a digital society and improving people's well-being. In addition to maximizing financial returns and making a positive impact on society as a whole through technology and innovation. To realize this vision, we are focusing on 4 key strategies, which are business model and portfolio strategy, customer success and regional strategy, technology strategy and people strategy. This is the management structure from fiscal year 2024. From this fiscal year, we have 5 Corporate Vice Presidents. From left to right, are Isobe, CFO; Mahajan, CTO and CPO, Chief Technology Officer and Chief Portfolio Officer; and Takahashi, Shimazu, and Onishi, our three Chief Operating Officers COO. Takahashi is responsible for expanding the Fujitsu Uvance business, and Shimazu is responsible for building and strengthening the global service delivery structure, and Onishi is responsible for implementing global customer and regional strategies as COO and Chief Revenue Officer CRO. This structure enables us to accelerate business decision making and execution in and across each business area. Next, I will explain our company progress during FY 2023. First, I will summarize the progress status of our financial performance indicators. In FY 2023, we started transforming our business portfolio, centering our efforts on service solutions as the pillar for growth. As a result, consolidated revenue in FY 2023 was JPY3.756 trillion for Fujitsu as a whole, an increase of 2.2% from the previous year. And Service Solutions revenue showed progressive growth, increasing by approximately 10% from the previous fiscal year to JPY2.1375 trillion in FY 2023. Consolidated adjusted operating profit decreased 11.6% from the previous financial year to JPY283.6 billion, largely due to the impact of business restructuring in Europe and a decline in sales demand for networks and devices. We expect device sales to recover from fiscal year 2024 and networks will remain at fiscal year 2023 levels during fiscal year 2024. As a result of our strategic initiatives, Service Solutions adjusted operating profit increased 45.5% year-on-year to JPY237.2 billion in FY 2023. Next is the progress status of our non-financial performance indicators. Fujitsu has set non-financial targets in the four categories of: environment, customer, productivity, and people. Generally, our performance has been smoothly progressing -- there are three areas I will give more details on today. First, we have significantly reduced our Scope 3 greenhouse gas emissions, shown at the bottom of the environment metrics on the far left of the slide, ahead of the 12% reduction target set for FY 2025 which was baselined against emission volumes in FY 2020. A decline in network product sales contributed to this temporary sharp drop and we will still hold to the set target for fiscal year 2025. Secondly, third from the left on the slide, is productivity per person, which has declined due to an overall reduction in Company operating income. However, in Service Solutions, our Company's growth area, productivity has increased by more than 40% compared to previous year. Finally, on the top right-hand side of the slide, we report the employee engagement score which remains the same as the previous year. Of the issues employees raised in the internal survey, those that are relatively easy to address have mostly been dealt with, and we are now tackling more complex issues. It will take a period of time between the issues being addressed and for employees to provide updated feedback, however we do then expect the scores to improve. Next, I would like to give more detail on how we are progressing in the key strategic focus areas I mentioned earlier. I will focus on three specific global initiatives, covering our progress during FY 2023 and plans in FY 2024, for each item. First, our business model and portfolio transformation strategic initiative involves transforming both our business portfolio and our business model from traditional systems integration to an on-cloud, business application, and cross-industry business that is exemplified by Fujitsu Uvance. Fujitsu Uvance sales in FY 2023 were JPY367.9 billion, far higher than the initial plan of JPY300 billion, and a significant increase of 84% from JPY200 billion in the previous financial year. In fiscal year ‘22, sales of Horizontal offerings, which provide technologies and solutions to support customer digital transformation, dominated. In fiscal year 2023, sales of Vertical exceeded 30% of the Uvance total, resulting from the strengthening of Vertical cross-industry offerings in areas including Sustainable Manufacturing and Consumer Experience. Data collaboration and utilization is an important factor in cross-industry business. In fiscal year 2023, we enhanced our approach to Fujitsu Uvance by embedding Fujitsu Kozuchi's AI engine into 22 Uvance offerings. During fiscal year 2024, we will continue to expand our Fujitsu Uvance offerings. In addition, as we announced in February, we will grow our business through Uvance Wayfinders, establishing standard global consulting services with a view to full-scale, global expansion. Next, I will explain our strategic initiative, offering reliable support for customers’ asset modernization, and how we are expanding in this growing market, particularly in Japan. In fiscal year 2023, we were able to start visualizing resource requirements to ensure business demands could be fulfilled. Opportunities and projects are streamlined through our Modernization Knowledge Center, utilizing proven global tools and techniques, in collaboration with global partners. In fiscal year 2024 and beyond, we expect demand for modernization of existing systems to continue changes of business to support customer modernization, which includes developing cloud and DX or digital transformation capabilities. Next, I will explain our strategic initiative to improve our profitability of the international business. The graph on the far left of the slide shows fiscal year 2023 revenue in international regions increased nearly 4% from fiscal year '22 to JPY604.1 billion and operating margin was 1.7%. Although profitability remains an issue, we expect a recovery through initiatives such as the transformation of our business portfolio. The status for each region is as follows. The Americas region has transformed its business portfolio to being heavily service-based, resulting in improved operating margins in fiscal year 2023. In fiscal year 2024, we aim to start scaling our business and further increase our profitability. The Europe region has implemented structural reforms, including separation of the private cloud business in Germany, exiting from less profitable areas and restructuring to separate the services and hardware business, all of these completes in fiscal year 2025. As a result of these measures, we expect the adjusted operating profit to recover from 0.5% in fiscal year 2023 to 4.3% in fiscal year 2024. In the Asia-Pacific region, we are embarking on structural reforms to move away from the competitive infrastructure business to services such as business applications. And in all regions, we will continue to shift in to being a service business centered on Fujitsu Uvance. Finally, I will explain our strategic initiative to improve the overall profitability of Service Solutions. We are pursuing 2 major initiatives to improve Service Solutions gross margin ratio, delivery transformation and pricing based on value delivered to customers. Our delivery transformation includes expansion of our global delivery centers where we will continue scaling resources, increasing the ratio of in-house work and our overall company offshore ratio. And through Japan Global Gateway, JGG, we are standardizing and automating development work by utilizing company-wide development platforms, enabling us to reduce man hour’s effort. We are moving away from traditional cost base estimations to implementing value-based pricing for our offerings aligned to the value they bring to customers. Since fiscal year '23, we have established global common rate card for services such as SAP and ServiceNow, which is now being applied in all regions. These strategic initiatives resulted in a 2% gross margin improvement during fiscal year 2023. Going forward, we will invest and develop our people in areas where we can differentiate any high-volume services, enhancing the value Fujitsu offerings provide. We will also price appropriately taking into consideration external environmental cost pressures to drive improved levels of profitability and productivity. Next, I will explain our targets for fiscal year 2024. These are the financial targets for fiscal year 2024. Consolidated revenue is JPY3.76 trillion. Adjusted operating profit is JPY330 billion and adjusted operating profit margin, 8.8%. In Service Solutions, we are targeting JPY2.23 trillion revenue, adjusted operating profit of JPY280 billion, an increase of 18% from the last financial year and adjusted operating of 12.6%. We will continue to grow Fujitsu Uvance's business and improve profit margins through delivery transformation with profitability predominantly increasing in service solutions.
Takeshi Isobe: I will be providing you detailed explanation. Fujitsu is pursuing several major reforms aimed at transforming the business model from a focus on products and contract-based system integrations to becoming a business that uses technology created ideas, which result in value to customers and contributes to their business growth. The ratio of Service Solutions in our business is increasing year-by-year. Fujitsu Uvance, which was born from an idea of contributing to the sustainability transformation of customers from a cross-industry perspective is now showing practical examples of adoption by customers globally. Fujitsu will continue striving to become a company that can grow sustainably while simultaneously contributing to solving global environmental issues, developing digital society and improving people's well-being through our business activities, which are 3 essential contributions to our company's materiality. That concludes my update. Thank you very much.
Unidentified Company Representative : Next, there will be a presentation about the fiscal year 2023 financial results. Mr. Isobe, please.
Takeshi Isobe: This is Isobe, CFO. I would like to give a presentation on the fiscal year 2023 consolidated financial results. Please take to look at this page. This is the financial overview. Our most important segment is Service Solutions, which had a strongly higher revenue and operating profit. Revenue for fiscal year '23 was JPY2.1375 trillion, an increase of 9.9%, excluding the impact of [indiscernible] restructure business was especially strong in Japan. Adjusted operating profit was JPY237.2 billion, an increase of JPY74.2 billion year-on-year and in [indiscernible] the impact of higher revenue, profitability improved. Adjusting operating profit, the margin improved significantly to 11.1%, an increase of 3 percentage points year-on-year. Total consolidated revenue was JPY3.756 trillion, an increase of 2.2% year-on-year. Higher revenue was primarily from Service Solutions for which performance in Japan was very strong. Profit for the year was JPY254.4 billion, an increase of JPY39.2 billion year-on-year. This represented a record profit for Fujitsu for the second year in a row. In addition to the impact of higher revenue, results benefited from a decrease in tax expense due to progress in business structure reforms. Page 4 shows an overview of the financial results for each business segment. I will discuss the results for each segment, starting with the next slide. But this slide gives you an overview of the segment. At the Biopic Service Solutions, our most important segment, which continued to increase in size while also improving profitability, excluding PFU, which have been included in consolidated results through first half of the previous year. Total revenue from continuing operations increased by 9.9%. In addition, adjusted operating margin improved significantly from 8.2% last year to 11.1% in fiscal year 2023. On the other hand, revenue and profit [indiscernible] Solutions, which includes network products and Device Solutions decreased. Both segments had performed well in the prior year, and we will concentrate on the growth investment over the medium and long-term horizon. From Page 5, we show results for each segment. First, I will talk about our company's in business Service Solutions. Revenue was JPY2.1375 trillion, which on the consolidation basis represents an increase of 9.9%. Business in Japan grew 12%, and there was a strong increase in [indiscernible] deals with strong demand in such areas sustainable transformation revenue for Fujitsu Uvance sharply higher rising 84%. Adjusted operating profit was JPY237.2 billion up JPY74.2 billion year-on-year. Although the increased growth investments related to Fujitsu Uvance, operating profit was significantly because of the impact of strongly higher revenue and measures to improve profitability. Adjusted operating profit margin was 3 percentage points to exceed 11%. I will now explain the components of this increase in profits with the waterfall chart. This charge was the factors that caused increases or decreases in adjusted operating profit in Service Solutions compared to the previous year. On the far left, adjusted operating profit in fiscal year 2022 was JPY162.9 billion. The first factor is an increase of JPY60.2 billion in adjusted operating profit from the impact of higher revenue. Overall revenue rose by 10% primarily in Japan. The second factor is an increase of JPY35.3 billion from improved profitability. We continue to make progress and initiatives to improve productivity such as the expanded use of global delivery expenditures and standardization and development work and gross margin improved by 2 percentage points. Results were also impacted by higher personnel costs but these were totally covered by improved profitability. The third factor is a decline of JPY21.4 billion from higher expenses, primarily investments in growth areas. As we projected, we actively made growth investments such as the development of Fujitsu Uvance offerings, investment in employee training and development and enhanced security adding these up, adjusted operating profit for Service Solutions in fiscal year 2023 was JPY237.2 billion. Adjusted operating profit margin exceeded 10%, rising to 11.1%. I will now provide supplemental information on each of the factors in the previous waterfall chart. First, the status of orders, which led to the increase in revenue. This page shows orders in Japan. Orders in Japan remained solid, rising by double-digit every quarter and increasing in Japan by 16% compared to the prior year. I will comment on each industry segment. First is a private enterprise business segment in which orders were up 7% year-on-year, primarily for modernization projects. Growth was driven by customers in the manufacturing, mobility and retail and distribution sectors. Orders around 15% in the finance business segment. In addition to deals job great mission critical systems for mega bank and insurance institutions. We also won many modernization project deals in the public and health care segment orders were up 19%. In the third quarter, we received multiple orders for system upgrades from government agencies and ministries resulting in solid growth. Among customers in the health care industry as well, we are seeing strong investments in electronic medical core systems and health care information systems. In the mission-critical and other segment orders were up 27% year-on-year. Orders benefited by multiple major projects in the National Security Field and even exceeded the prior year's high level. Our business in Japan continued to be very strong in addition to medical -- in addition to mission critical system upgrades and modernization deals, we were able to launch new Fujitsu Uvance offerings and at solving issues across industries such as sustainable transformation. The next page shows orders in regions, international orders for the Europe region were impacted by the carve-out of the German private cloud business, but still only declined by 8%. Orders in the Americas region increased by double-digit to 27%. We won multiple private sector business application deals. The Fujitsu Uvance business is ultimately expanding as well. Orders for Asia-Pacific region were down by 17%. There was a pull back from the large-scale public sector deal in the prior year resulting in the decline. Page 10 shows the progress of Fujitsu Uvance, which we are positioning as the most vital area for the great business and the transformation of our business portfolio. Fujitsu Uvance consist of a total of 7 key focus areas, including 4 vertical areas depicted in the graph in deep blue, which are cross-industry areas that solve a societal issues and 3 horizontal areas depicting in light blue, which are technical platforms that support the vertical areas. In fiscal year 2023, we fully launched offerings in the vertical areas and the ratio of revenue from the vertical areas significant increase centered on sustainable manufacturing. We also launched offerings in such other areas of [indiscernible] and trusted society. As a result, revenue increased by 84% year-on-year to JPY367.9 billion is significantly exceeded our target of JPY300 billion. The ratio of revenue from Service Solutions rose from 10% in the prior year to 17% in fiscal year 2023. We are also making progress in changing our business portfolio. Orders leading to sales revenue are now JPY449.3 billion, an increase of 80% from the prior year, we are seeking to achieve Uvance's revenue of JPY700 billion in fiscal year 2025, representing 30% of total revenue. This page shows profitability improvements and the status of growth investments. The effective profitability improvement effort was JPY35.2 billion and the gross margin improved by 2 percentage points. Utilization of offshoring through global delivery centers increased from 11% in the prior year to 14% in fiscal year 2023. We are making steady progress in standardization and automation in the delivery services and the expansion of in-house work. Both investments and expenses increased by JPY21.4 billion. We continue to proactively invest in areas directly related to business growth, such as the development of Fujitsu Uvance offerings and investments needed to develop specialty sheet resources and employee reskilling and investments to strengthen our security. This concludes my supplemental explanation of the increases and decreases in profit outlined in the chart on Page 7. I will now briefly touch on the status of each subsegment in Service Solutions. First, Global Solutions revenue was JPY480.3 billion up 17.9%. On an adjusted basis, the subsegment proceed an operating profit of JPY13.7 billion up JPY8.6 billion from the prior year. Fujitsu Uvance experienced faster-than-anticipated growth and sales of software modernization drove revenue growth. In regions Japan, revenue from continuing operations was JPY1.2621 trillion, up 9.2% from the previous year. Adjusted operating profit was JPY213.1 billion, an increase of JPY65.4 billion. The number of the x business deals of mission-critical systems is increasing in a wide range of sectors, primarily in the finance, public and health care sectors. In motion to the impact of higher revenue, we made significant progress in improving profitability. [indiscernible] International for new was scathing JPY4.1 billion, up 3.9% against the backdrop from an expansion of Fujitsu Uvance and the impact of foreign exchange movements. On an adjusted basis, has an operating profit of JPY10.3 billion, roughly the same as the previous year. In terms of profitability, conditions continue to be difficult, primarily in Europe, we will steadily transform our business fully to accelerate improvement in our profitability. Page 13. I will now explain the performance of other segments beside Service Solutions. First is hardware solutions. Revenue was JPY1.108 trillion, a decrease of 2% year-on-year for fiscal year 2023. Adjusted operating profit was JPY83.6 billion, down JPY28.9 billion year-on-year. In system products. Revenue increased largely from foreign exchange movements. On the other hand, in network products, there was a large pullback from the strong demand of the previous year in both Japan and North America, resulting in a significant drop in revenue. For this fiscal year's network products in the midst of a decrease in sales due to the large-scale demand cycle, we are expanding our development investments for the next growth cycle, including our investments to achieve high speed, high capacity, low latency and low energy consumption networks. On the bottom of the slide is Ubiquitous Solutions. Revenue was JPY272.3 billion, down 4.4% year-on-year. Adjusted operating profit was JPY24.2 billion, up sharply by JPY15.5 billion year-on-year. With regards to the higher component costs, including the impact of foreign exchange movements, we are advancing efforts to cut costs and pass on higher cost to customers. Page 14. Device Solutions. Revenue was JPY286.3 billion, down a massive 25.2% year-on-year. Adjusted operating profit was JPY18.3 billion, down JPY59 billion from the previous year. Demand for semiconductor packaging, which have been strong through the first half of the year, significantly the occasion the second half of the year. In fiscal year 2023 demand levels have continued to be weak. In addition to lower capacity utilization from lower product unit volumes, there was a significant decrease in operating profit. The decline seems now to have stopped, but -- and we anticipate a modest recovery from fiscal year 2024. On the bottom of the side, is intersegment elimination and corporate, this segment posted an operating loss of JPY79.7 billion with a JPY38.8 billion increase in expenses for the previous year. We are continuing to expand our investments in medium- to long-term business growth including enhancing advanced research and cutting-edge areas such as AI quant computing and energy-saving processors and promoting the one Fujitsu program for enhancing our management foundation as well as enhanced global security. Page 15. I would now like to describe our growth investments. Growth investments in fiscal year 2023 company-wide was JPY202.1 billion. We are conducting a proactive investment. It's an increase of a JPY81.4 billion year-on-year. We developed new Fujitsu Uvance offerings and strengthened our business. We strengthen cutting-edge R&D in 5 key technology areas, including [indiscernible] like in quantum computing. We also strengthened our management foundation, such as the Uvance Fujitsu program for our own internal digital transformation we are improving quality and strength in security, we also invest aggressively employee training and rescaling because of the investments, we have expanded Uvance as I just explained and increase the profitability of service solutions. In addition, in fiscal year 2024, we plan to make 1 ERP plus operation for our services business in Japan to accelerate our own digital transformation DX and speed up and improve the efficiency of our business by promoting data driver management. So far we've talked about continuing business. From now on, I would like to describe our transformation initiatives to improve our corporate value. On profit and loss statement, most of the content will have an impact on adjusted items. First, I will describe our initiatives in Regions International, we are accelerating the shift in our business portfolio to improve profitability. As we announced in the third quarter, the first initiative was to carve out our private cloud business in Germany. This is designed to narrow down low-profit traditional businesses and clear focus on events core business area. As a result, we recorded a onetime loss of approximately JPY30 billion as part of our adjusted operating profit. That business produced an operating loss of roughly JPY10 billion in fiscal year 2023, but we expect the carve-out to eliminate that loss starting in fiscal year 2024. Secondly, we are exiting from low-margin regions in Europe and streamlining our corporate functions there. As a result, we recorded a onetime loss of approximately JPY30 billion as part of our adjusted operating profit. By concentrating operations and increasing business efficiency, we expect it to lower cost starting in fiscal year 2024. Thirdly, as we announced in March 2024, we are reorganizing our European subsidiaries to separate the service business from the hardware business in order to promote management efficiencies and strengthen governance. In accordance to the reorganization, our taxes were lower because of tax effects by more than JPY130 billion as an adjusted operating profit item by making these structural reforms, you plan to put our European business on a healthier fitting. Next, continuing initiative in hardware solutions. First, in April 2024, we launched F-Class Technologies, Inc., a dedicated company for service and storage solutions in Japan. We will integrate product development, manufacturing, sales and maintenance functions to build an integrated entity, accelerating management decision-making and promotion thorough efficiencies to provide added value total solutions with advanced technologies. There is no direct impact on our consolidated results in fiscal year 2023, but we expect to generate business efficiency starting in fiscal year 2024. Second, we reform the cost structure of our network products business in North America, such as by reducing the overhead expenses. Because of this, we expect profitability improvement starting in fiscal year 2024. This page is Ubiquitous Solutions. As announced in the third quarter the client computing license unit in Europe, which has faced severe competition and difficulties in maintaining profitability will be shut down in April 2024. As a result of exiting the business, we recorded a onetime loss of approximately JPY30 billion recorded as an adjusted operating profit item. The operating loss from this business in fiscal year 2023 was roughly JPY2 billion but as a result of exiting the business, we expect the losses to be eliminated starting in fiscal year 2024. This page shows Device Solutions. As mentioned in the third quarter, the first initiative concluded an agreement to sell shares of Shinko Electric industries after concluding various investigations and they tend to offer replan to serve our shares in fiscal year 2024. Due to this, the sale will not impact the consolidated results for fiscal year 2023. The completion of the sale, however, we anticipate that we record a onetime profit of approximately JPY150 billion from the non-continuing operations. In fiscal year 2023, Shinko Electric recorded a revenue of JPY209.9 billion and operating profit of JPY24.9 billion, of which JPY9.3 billion profit for the year was attributable to Fujitsu as the parent company. Second, in the network-related parts manufacturing business be reviewed to the cost structure by consolidating manufacturing functions and reducing fixed costs. Accordingly, we recorded a onetime loss of nearly JPY10 billion as adjusted item for operating income by improving business efficiency, we expect cost improvement in fiscal year 2024 and beyond. Page 21. As a result of the onetime losses low [indiscernible] with the business transmission I previously explained, there was an operating loss of JPY123.4 billion after adjusted items. Financial income, expenses, tax expenses, et cetera also recorded an increase in JPY142.1 billion after adjusted items. As a result, the total impact of adjusted items on the profit for the year was an increase of JPY18.6 billion. We will continue to make steady progress in reviewing our portfolio and transforming our business structure to achieve sustainable growth in Fujitsu's corporate value. Page 22. This page again shows our consolidated results for fiscal 2023. Profit for the year, both before and after adjustment exceeded our previous year's forecast and was our highest ever profit. Next page, I will now talk about the status of cash flows and balance sheet versus cash flow. Excluding onetime gains, core cash flow was JPY197.2 billion, up JPY40.1 billion from the previous year. In addition to an increase in revenue from trade receivables, we have made progress on shrinking inventory assets that increased the previous year and have improved our working capital. Free cash flow, the second table from the bottom was JPY151.9 billion, up JPY25.5 billion from the previous year. While core cash flow is up from the previous year, free cash flow was down from the previous year. This is due to onetime outflows because of the loss on the sales from -- of German private cloud business and acquisition costs for GK Software. Page 25 shows core free cash flow and adjusted items. The breakdown shows as described. And that [indiscernible] is mainly related to M&A expenditures and the acquisition of GK Software. The breakdown is shown on the page. We foresee that much of the effects of the onetime loss associated with the transformation I have previously explained, will take place during fiscal 2024. The next page shows assets liabilities and equity. I will emit an explanation for this page. This concludes the financial results for fiscal 2023. Sales of service solutions increased significantly, mainly in Japan on the back of strong demand from Fujitsu Uvance and modernization. Although we fell short of our ambiguous business schools, we will further accelerate this momentum towards 2024. Sales orders and expansion of the business negotiation pipeline continue to be strong in a wide range of industries, and we expect firm business growth in fiscal year '24 and beyond. We also -- we are also advancing our transformation initiatives. In fiscal '24 and beyond, we will not only reap the benefits, but also we will continue to take decisive action to address our business issues. Starting from the next page, I will explain our financial results forecast for fiscal 2024. This is our financial forecast for fiscal '24. Revenue is forecasted to be JPY3.760 trillion with adjusted operating profit forecast to be JPY330 billion, and adjusted profit for the year is forecast to be JPY226 billion. Segment breakdown. First, I will start with Service Solutions segment, our most important segment. We expect a steady increase in revenue and profit from fiscal 2023 to continue. In Service Solutions, we present a revenue of JPY2.230 trillion, an increase 4% from the previous year. In Japan, we project an increase of 10%. Regions in international will impact by carve-out. And so we project revenue to fall. And our projected adjusted operating profit for Source Solution is JPY280 billion, and we project operating profit for the segment gold price by 1.5%. I will explain our forecast for hardware and other business segment in the next page. On the far left, the figures for fiscal 2023, operating profit was JPY237.2 billion with an operating profit margin of 11.1%. I will use this as a starting point to comment on the increases and decreases. First, we project the operating profit will increase by JPY50 billion due to impact of higher revenue, which project -- which is projected to rise by JPY92.4 billion. In regions International, we anticipate temporary loss of revenue from carving out of low-margin businesses. We project revenue in Japan will grow by 10%. We project this will lead to an overall growth in revenue 4%. Second, we will project profitability improvements will increase revenue by JPY45 billion. And the effects of profitability improvements for our business transformation included in this figure of 2% improvement in gross margin. Third, we projected investment for growth will expand by JPY52 billion. In addition to developing Fujitsu Uvance, we anticipate that there will be significant increase in investment to expand our consulting capabilities. On the far right, our projected figures for fiscal 2024, we project the adjusted operating profit will be JPY280 billion, and operating profit margin will be 12.6%. We will uniformly advance our efforts to expand our scale, improve profitability and expand investments for growth. We are working to expand our Fujitsu Uvance business, consulting business and modernization business. I will be explaining the Service Solutions subsegments. For Global Solutions, we project revenue of JPY530 billion, up 10% year-on-year. We anticipate double-digit growth centered expanding -- on expanding Fujitsu Uvance. We project adjusted operating profit of JPY20 billion, an increase JPY6.2 billion from fiscal '23. We will also expand profit margin through further promoting our vertical offerings. In regions Japan, we project revenue of JPY1.370 trillion, up 9% year-on-year. We will continue to bring demand for Fujitsu Uvance and modernization and grow. We project the subsegment's adjusted operating profit will be JPY240 billion, an increase of JPY26.8 billion from fiscal '23. We are making aggressive investments in Fujitsu Uvance and modernization as well as to increase our consulting capabilities. We will accelerate our productivity improvement initiatives to date and aim to improve our profitability even further. In Regions International, we project a revenue of JPY540 billion. Due to carve out of low-margin businesses, we project that revenue will be down by 11%. We project a [indiscernible]. Adjusted operating profit will be JPY20 billion, an increase of JPY9.6 billion in fiscal '23. We anticipate that we will reap the benefits of the business transformation we worked last year, and we will strive to establish a healthy profit. This page shows the trends and projects for Service Solutions business results. In addition to expanding revenue, we have a balanced business efficiency improvements and are steadily improving the segments in operating profit margin to 11%. In fiscal '24, we will continue to steadily work towards achieving the fiscal 2025 target, which is the final year of the current midterm plan by further improving profits while expanding investments for further growth. Page 33, I will now briefly comment on our forecast for hardware and other business segments. First is hardware solutions. We project revenue of JPY1.030 trillion, down 7% from the previous year. We also project an adjusted operating profit of JPY70 billion, which in line with the decrease in revenue, will result in an operating loss of JPY13.6 billion. For System products, we anticipate a loss of revenue due to a pullback from large scale server and storage deals as well as end of adjustments for new bank notes. We project that the demand for network products will remain at the same level. It was in fiscal '23 into fiscal '24. We anticipate that these -- there will be growth internationally and in Open RAN. In Ubiquitous Solutions, we project revenue of JPY220 billion due to the impact of existing European businesses, we anticipate a 20% decrease in revenue. We project the adjusted operating profit of JPY20 billion, and operating loss of JPY4.2 billion year-on-year. In Device Solutions, we project revenue of JPY335 billion, an increase of 17% year-on-year. Low demand in the semiconductor packages has continued from the second half of fiscal '22, but we expect the demand will recover in fiscal '24. We also project adjusted OP of JPY40 billion, an increase of JPY21.6 billion from last year. We also anticipate improvement of capacity utilization as a result of increase in product volumes. In intersegment elimination and corporate, we forecast adjusted operating loss of JPY80 billion. This is -- this is because we are planning to continue aggressive investment in AI, cutting-edge R&D and strengthening our management foundation through such things on one Fujitsu at the same level as the previous fiscal year. We project the core cash flow will be JPY220 billion of JPY22.7 billion year-on-year. On Page 35, you see trend of financial indicators for the last 5 years. On the upper left is adjusted EPS. In addition to steadily realizing profit growth on a core business basis, we are also improving capital efficiency through acquisition of [indiscernible] stock and adjusted EPS is steadily increasing. On the upper right, ROE was 15.2% in fiscal 2023. We operate our business with focus on balancing profit, growth and capacity of capital efficiency. The share price and PBR in the lower part of the page are results of the evaluation by the capital market. The share price has increased by 2.5x in the past 5 years, and the PBR has increased by 2.6x at the end of fiscal '23. Starting from the next page, I will explain our capital allocation and shareholder returns. This is the status of capital allocations in fiscal '23. Base cash flows for fiscal '23 were JPY303 billion. The relationship between cash flows is briefly described at the bottom of the page. The cash flow -- our pre growth free cash flow plus lease payments to fund capital allocations. In fiscal year '23, we allocated approximately JPY200 billion to business growth investments and JPY150 billion to shareholder returns, mainly funded by JPY303 billion base cash flows. Although the total allocation exceeds the cash flow in a single year, the allocation is based on the assumption that the cash can be earned during the current medium-term management plan. Of the shareholder returns, we initially plan to acquire JPY150 billion of treasury stock, but due to insider information and other factors, the acquisition date was delayed, resulting in JPY103.1 billion in fiscal 2023. Page 38 shows the progress on capital allocation made during the current midterm plan. The graph on the left-hand side is the base cash flow. We will achieve a base cash flow of JPY1.300 trillion during the next 3 years. The graph to the right of this shows our allocation. We plan to make growth investment of JPY700 billion and generate shareholder returns of JPY600 billion, in line with our MTP. We returned approximately JPY150 billion to shareholders in '23. But based on our 3-year return plan, we plan to increase the amount of our shares acquired and a return of JPY230 billion in fiscal year '24. Page 39 shows shareholder returns breakdown. I will show the dividends first. Fujitsu is stably and steadily increasing our dividends, and we plan to increase dividends by JPY2 in fiscal '24 as well. This will be the ninth consecutive dividend increase. Next is stock buybacks. As I have said, in fiscal '23, there was a delay in the start period of stock buybacks due to insider training regulations. This led to lower shareholder returns than initially planned. In fiscal '24, we plan to expand the total amount of stock buybacks, which will include making up the difference in fiscal '23. We project stock buybacks to JPY180 billion and combined amount of the shareholder returns will be JPY230 billion in fiscal '24, no changes to our 3-year shareholder return plan of JPY600 billion. By expanding cash flow and appropriately allocating it to investment that contribute to business growth and shareholder returns, we will lead just a stable increase in corporate value. This concludes my presentation. Our consolidated financial results for fiscal '23 and financial forecast for fiscal '24.
End of Q&A: